Operator: Ladies and gentlemen, good morning. My name is Abby, and I will be your conference operator today. At this time, I would like to welcome everyone to the Consolidated Communications Second Quarter Earnings Conference Call. Please be advise that todayâs conference is being recorded and all lines have been placed on mute to prevent any background noise. After the speakersâ remarks there will be a question-and-answer session.  Thank you. And I will now turn the call over to Jennifer Spaude, Senior Vice President of Investor Relations and Corporate Communications. Jennifer, you may begin your conference. 
Jennifer Spaude: Good morning. And thank you for joining the Consolidated Communications second quarter 2022 earnings call. We announced a material event yesterday afternoon with the sale of our wireless investments, and therefore, we are moving our earnings call up to speak to you all sooner. Our earnings release, financial statements and presentation are all posted on the Investor Relations section of our website at consolidated.com. Please review the Safe Harbor provisions on slide two of the presentation. Todayâs discussion includes forward-looking statements about expected future events and financial results that involve risks and uncertainties that may cause actual results to differ materially from those expressed today. A discussion of factors that may affect future results is contained in Consolidatedâs filings with the SEC. In addition, during this call, we will refer to certain non-GAAP financial measures, which are defined and reconciled in our earnings presentation and press release. With me today on the call are Bob Udell, our President and Chief Executive Officer; and Steve Childers, our Chief Financial Officer. Following their prepared remarks, we will open the call up for questions. Iâd now like to turn the call over to Bob Udell.
Bob Udell: Thank you, Jennifer, and good morning, everyone. I am excited to share second quarter results, which include a very -- a few very important milestones associated with our company transformation to a fiber broadband company. First, in the second quarter, we delivered a record number of consumer fiber adds and turn net positive for broadband connections, offsetting DSL declines. This is an important milestone. Our build machine continues to execute well and produced a record 142,000 additional fiber passings constructed in the recent quarter. In the first six months of the year, we built fiber to 226,000 locations and we are on track to achieve roughly 1 million total fiber locations this year as we upgrade over 400,000 passings by the end of 2022. Each of these operating milestones reflect key inflection points and position us for a return to revenue growth with our fiber build execution. Additionally, we took an important step subsequent to the end of the quarter and announced the sale of our wireless partnership investments for $490 million. The proceeds of which will be invested in our fiber expansion and growth plan. This transaction enables Consolidated to further advance its transition to a fiber-first broadband company and is consistent with our strategic priorities, focused on creating long-term value by simplifying our business and fully executing on our fiber expansion plan. Steve will provide some more details on the sales in his remarks.  In the recent quarter, we added 9,600 Fiber Fidium subscribers, a 3 times increase from a year ago and 25% increase from our record first quarter add. We also achieved total consumer positive broadband adds for the year. Most importantly, this fiber customer game outpaced DSL losses for the first time in seven years. The vast majority, 80% of our net adds, are new fiber subscribers with over 65% of those subscribers choosing our 1-gig service. For the full year 2022, we are on track to add 3 times the fiber net ads from 2021.  Fidium is now available in 150 communities and we launched 2-gig symmetrical speeds at the end of June. While it is still early, we are pleased with the customer interest and reaction of our 2-gig promotions. And importantly, Fidium 2-gig further solidifies our position as the technology leader in the markets we serve. We continue to see significant growth in data consumption. Our fiber customers consume 2 times to 3 times more data per month than DSL customers and upstream bandwidth usage and demand is continuing to increase. An Open Vault study noted upstream bandwidth has tripled over the past three-year period. Fiber is clearly the superior product, and critical to satisfying future market demand. And our fiber product is designed to make broadband easy. This means simple plans, transparent pricing and a digital customer experience, which makes it easy for customers to do business with us. Our symmetrical speed, premium whole home Mesh WiFi, No Data caps and no contract service is game changing for the markets we serve. We offer convenient installation appointments and have a dedicated premium customer support channel. All of this is to create the best experience possible for our customers.  We expect customer satisfaction closely and Fidium has been very well received, as measured by our industry-leading Net Promoter Score of over 50. This high score reflects all the elements we have been working so hard on to ensure Fidium delivers the best customer experience possible. Fidium Fiber broadband is really a game changer. Turning to cohort penetration, our cumulative 2021 new fiber build cohorts continues to exceed our penetration target of 14% at the 12-month mark. In addition, our pre-built base cohort penetration has increased 80 basis points to 21% year-over-year. This increase in our pre-build fiber base reflects the positive receptivity we have experienced in our communities. As a reminder, our cohort penetration target for year two is 24% and year three is 33%. Terminal penetration will be closer to the 40% range over a five-year horizon where we have a duopoly parity.  I thought it might be useful to give you some additional context on our fiber markets. We will break it out into three tiers; 55% have a population of 10,000 or less; roughly 25% have a population between 10,000 and 50,000; and our largest markets make -- are over 50,000 and make up 10%. As a higher -- as a reminder, 90% of our markets have just one cable competitor and no other fiber provider. And by introducing fiber, we are providing an alternative superior technology that didnât exist previously in these communities.  That said, we are not seeing anything notably different from last quarter as far as the competitive environment. Thereâs no new entrants or significant responses where we have upgraded to the Fidium Fiber product and we are building the best fiber network and have the best product with the best customer experience.  We continue to generate very strong pre-sign up activity where we are launching Fidium. We are using a targeted digital and local media strategy to introduce Fidium and provide easy options to pre-sign up via our self-service and enhanced website. June was our best month for net adds since we started the bill and July looks to be well exceeding it. Turning to our fiber build plan, which is outlined on slide five, we are on track to upgrade over 400,000 locations this year. By the end of 2022, we have roughly 1 million fiber passings and we will have 2 million fiber locations when we complete our planned Fidium Fiber upgrades. Our fiber expansion plan represents significant transformation and growth opportunities for our consumer, commercial and carrier channels that provides us the opportunity to leverage these assets for multiple revenue streams. Our network architecture and core upgrades enabled 10-gig capabilities and will enable 100-gig services to the edge in the future, really future-proofing our product portfolio. We see additional opportunity in 2023, we are up to $100 million in broadband partnership and grant-funding projects across just a few of our states. We are actively pursuing all opportunities that align with our build plan and help offset rural high cost passings, allowing a return consistent with our model. As demonstrated by our very successful track record in securing and executing public private partnerships, we are well positioned to capitalize on incremental government programs. There continues to be strong demand for faster speeds and fiber services, which we believe is a superior product. Our plan is clear and we are executing well on it. We have several meaningful fiber deployment advantages, including our incumbent position. We know these markets very well and have a fiber-rich carrier class network that we can cost effectively extend. We have existing conduit capacity for various facilities and pull access where we have aerial fiber. Approximately 80% of our fiber is aerial in Northern New England and in close proximity to our existing fiber backbone facilities and we have very experienced teams and access to contract workforce which allows us to flex, ensuring we complete our builds on time. Turning to our commercial and carrier channels, we continue our long track record of growing data transport revenue across both channels in the second quarter. Our commercial go-to-market strategy leverages our extensive fiber network and our solutions-based sales approach, allowing us to become a trusted adviser to our customers while providing simple solutions to complex problems. One success Iâd like to highlight in the second quarter was with the Champagne, Illinois-based educational network. We designed and delivered a 10-gig switch Ethernet network across 23 locations. This is a great example of solving our customerâs bandwidth pain point and delivering a diverse, scalable network solution. Carrier revenue benefit from timing related to contract negotiations and a one-time fiber IRU sale booked in the second quarter. As we have previously discussed, the fiber-to-the-tower business is under some rate re-rate pressure, but as a result of these negotiations, we are seeing an opportunity to bid and win on new towers. New fiber castings within our unique routes provide opportunities for us to leverage the same fiber to grow commercial revenues. We increased our lit buildings 10% in the second quarter and had 90% of our new sales activity on our network, which correlates to higher margins, increased opportunity to upsell and a greater flexibility to ensure the best customer experience. Now let me address something on everyoneâs mind and thatâs economic conditions. We are beginning to see some slower decision-making on the part of enterprise customers. However, our sales funnel remains solid, itâs just from quote to signing, itâs taking a little longer. In addition, fuel and energy costs are increasing, and we are taking steps to mitigate these increases. We are fortunate that we built up our inventory and worked ahead on our fiber builds where possible, allowing us to accelerate some of this yearâs build, while keeping our unit costs down and overall build cost lower than they otherwise might be. I will now turn the call over to, Steve, who will provide more insight on our second quarter financial results. Steve?
Steve Childers: Thank you, Bob, and good morning to everyone. Today, I will begin with an update on the sale of our interest and our Verizon Wireless limited partnerships. Yesterday after market closed, we announced the sale of these investments to Verizon Wireless for gross proceeds of $490 million. As a reminder, Consolidated had interest in five limited partnerships with Verizon, with our ownership ranging from 2.3% to almost 24%. Three of these partnerships were located in Pennsylvania, two were in our Texas markets. We have no employees, operating expense or capital supporting these assets, which generate approximately $39 million to $41 million in annual cash distributions. Related to the tax impacts of the sale, we estimate the federal taxable gain is fully shielded by our NOLs and we estimate potential incremental state income or state income cash taxes of between $10 million and $15 million. The closing time line on one of the partnerships is promptly following the agreement being signed and the remaining partnerships are expected to close by year-end 2022. Net proceeds, which we estimate to be approximately $470 million, will be used to investment in our fiber expansion and growth plan. Cash distributions from these investments are paid one quarter in arrears. We received $11.3 million in the second quarter and expect normal distributions in Q3. We currently estimate that our Q4 distributions will be reduced by $3 million to $5 million based on the actual time to close each transaction. I will now provide an overview of our second quarter results and I will update our 2022 full year guidance. Total operating revenue for the second quarter was $298.4 million and adjusted EBITDA was $107.5 million, representing a 36% adjusted EBITDA margin for the quarter. As previously disclosed, effective January 1st of this year, the annual $48 million in CAF II funding we had received transitioned to $6 million under the Rural Digital Opportunity Fund. The subsidy reduction impacts revenue and EBITDA by approximately $10.5 million on a quarterly basis in 2022. CapEx for the quarter was $179.1 million. I will update our full year CapEx guidance in just a bit, but first, I want to call out a few things. The second quarter is typically a peak construction period, and we took advantage of favorable weather conditions to deliver a record quarter with more than 142,000 upgrades. This will be approximately 40,000 or 40% more than our original Q2 target and our average cost to pass would account for roughly $24 million of Q2 CapEx. Additionally, we continue to do substantial pre-work on locations that will be completed and released the marketing in the last half of the year with an added estimated cost of $40 million for our construction work in process. Our construction and engineering teams are actually working about two quarters ahead. This work ahead focus is critical to making inventory available to sales on a ratable basis each month. Also, with consideration of supply chain challenges in the current inflationary economic environment, we continue to build inventory and selectively accelerate the bill. Now, I will review revenue by customer channel. Turning to our consumer channel, total revenue was $118.6 million, down 5.1% compared to a year ago. Normalizing for the impact of the sale of our Ohio assets revenue declined 3.9% year-over-year.  Overall, consumer brand -- consumer broadband revenue in the second quarter was $67.6 million, up approximately $0.04, sorry, 4% -- 0.4%, get it right in a second, after normalizing for our Ohio sale, consumer fiber net adds were up 3 times from a year ago as our customer acquisition engine ramps. Consumer fiber revenue was $19.2 million, up $4.2 million or 28% year-over-year and we have added almost 26,000 consumer fiber connections in the last 12 months. So in just six quarters of the build plan and for the first time in years, we have achieved total company consumer net positive broadband adds.  Consumer fiber revenue was $64.95 in the second quarter, up sequentially by almost $1, driven by speed mix as customers are taking higher speeds and promotional pricing is rolling off after the first year of service. Consumer voice revenue was down $3.5 million, almost 9%, primarily due to the continued erosion of excess lines and associated services. Video revenue declined $2.4 million or 14.5% year-over-year. Our transition to over-the-top video services has enabled us to cap linear video deployments. Video programming costs are down $4.8 million, improving margins and free cash flow. Commercial revenue was $100 point -- $104.2 million, down $852,000 for the quarter. Data services revenue was $57.1 million in the second quarter, up 0.4% year-over-year, primarily driven by growth in dedicated Internet services. Business systems equipment and custom job installation revenue was up $2.3 million in Q2 compared to last year, building a momentum our sales teams realized throughout 2022. Offsetting this growth is continued voice erosion, which is occurring at a slightly higher rate in Q2. Access line erosion combined with lower slick and long distance usage charges drove the decline.  Consumer data and transport revenue was $36.3 million, up 2.3% or 6 point -- $2.3 million or 6.8%. Our carrier revenue included a $3.1 million in a one-time fiber IRU sale. Carrier revenue also benefited by the late impact of recognizing new pricing on fiber-to-tower contract renewals that had been expected to be a revenue reduction in the range of $10 million to $12 million for 2022 and is now estimated to be in the range of $7 million to $9 million, primarily in the last six months of this year. Our carrier team is actively trying to minimize the impact in 2022 as well for the run rate going into 2023. As Bob mentioned, as a result of the ongoing negotiations, we have the opportunity to add new towers and other business opportunities with the major carriers. Network access revenues totaled $24.8 million, down $6.3 million year-over-year. Over 60% of the decline was driven by lower universal service fund revenue, with the balance primarily coming from special access. As a reminder, this usage charge is a pass-through so it is EBITDA neutral.  Operating expenses were $211.4 million, an improvement of $2.9 million or 1.4% from a year ago. The primary drivers were $4.8 million decline in video programming expense, a $3 million decline in the universal service fees, which was offset by $2.1 million in fuel and utilities and travel expenses combined with one-time expense related to the carrier IRU sale. Net interest expense was $30.2 million, a decrease of $15.3 million compared to a year ago, primarily as a result of non-cash interest of $10.9 million on the Searchlight note, which has now converted to perpetual preferred stock in late December. The remaining reduction in interest expense was primarily the result of the maturity of an interest swap agreement in July 2021. Given the current rate environment, we want to remind you that approximately 77% of our debt is -- we have a $500 million interest rate hedge against our $1 million term loan or $1 billion term loan and when combined with our $1.1 billion senior notes with fixed coupons, our over -- and our overall cost of debt is 5.86%. Additionally, you can see our capital structure on slide nine or slide eight, along with the pro forma view of our liquidity, giving effect to the net proceeds of the sale of our limited wire -- limited partnership wireless Interest. Our net debt leverage was 4.46 times at June 30th, and on a pro forma basis, our liquidity improves from $293 million to over $850 million. Additionally, we have no debt maturities until 2027. The additional capital infusion puts us in a very strong position to support our fiber expansion plan. As a reminder, we announced an agreement to sell our Kansas City assets in March, which we estimate to generate net proceeds of approximately $90 million and is expected to close by year-end, following routine regulatory approvals. Itâs currently under review with the FCC Team Telecom. Additionally, we continue to review all markets in our portfolio for investment or monetization. We believe we have the ability to raise additional capital through potential asset divestitures. Our criteria in this review includes evaluating the fiber build opportunities, market level competition and potential valuations. Today, we are updating our 2022 guidance. Our outlook is outlined on slide nine. First, adjusted EBITDA for the year is now expected to be in the range of $400 million to $410 million. Our updated outlook for adjusted EBITDA reflects primarily the following three factors; first, our cash -- Q4 cash distributions will be impacted due to the sale of the Verizon Wireless investment. We currently estimate that the wireless cash distributions could be $3 million to $5 million less in the fourth quarter based on the time to close each transaction. We are seeing inflationary pressures on primarily utility and fuel costs, and expect our operating expenses to increase between $4 million and $5 million in the last half of the year. We are taking all steps necessary to minimize the impact of these increased costs. Third, additionally, we are experiencing slightly higher erosion of our voice access revenues. We expect this to impact earnings by approximately $3 million to $5 million. Capital expenditures are now expected to be in the range of $565 million to $585 million. The higher CapEx level primarily reflects additional investment in pre-construction work and securing inventory for fiber upgrades to be released in 2023 and also for some inflationary cost pressures. There is no change to our plan to upgrade over 400,000 locations this year and we are on track to achieve this target. Cash interest expense is now expected to be in the range of $125 million to $129 million and cash income taxes are now expected to be in the range of $12 million to $17 million. The adjustment considers potential $10 million to $15 million state income taxes associated with the wireless investment sale and we still do not expect to be a full cash taxpayer until 2026. With that, I will now turn it back over to Bob.
Bob Udell: Thanks, Steve. We are executing well on our consumer fiber expansion plan, having achieved record fiber subscribers and net positive total broadband connections this quarter, quite frankly the first time in over seven years. We have continued our long track record of growing commercial and carrier data transport revenue. We are enhancing the customer experience across all channels as shown by our industry-leading NPS scores and were disciplined and focused on ensuring we have a capital structure to support our growth plan. We significantly improved our liquidity and added flexibility with over $600 million aggregate divestitures of non-core assets announced in the past year. As we look to the future, we are focused on growth and creating long-term value for our shareholders. Operator, we will now take questions at this time.
Operator: Thank you.  And we will take our first question from Greg Williams with Cowen. Your line is open.
Greg Williams: Great. Thanks for taking my question. Just one on the fiber build, you mentioned and you reiterated the 400,000 build for the year. I am just curious, does this Verizon sale maybe help accelerate that, do other carriers have noted when they have got more capital, they have accelerated their build, I am just wondering if thatâs the case and you mentioned your second quarter build was better than expected? Second question just on further divestitures, it sounds like you are still looking, I figured you maybe would have taken a breather after Kansas City, Ohio and on Verizon. So you are still exploring other asset sales and what does that environment look like, given rising rates? Thanks.
Bob Udell: Yeah. Thanks, Greg. I will take the build question first and then get to the focus on divestitures. We are looking always at the flexibility as we execute on our fiber expansion plan, which is absolutely key to our growth. Right now, our plan is to build the 400,000 for this year, solidify -- we continue to solidify our view of where we go first to accomplish the full 1.6 million build-out. And so what I think this does is certainly ensures that build-out plan and we will remain opportunistic as we pursue public-private partnership or the infrastructure funds being made available from a federal government perspective and allocated by the NTIA, thatâs a key focus on ours. So we are going to remain flexible and for now we are committed to the 1.6 million, looking opportunistically at ways to grow it. Regarding the divestitures, itâs all about focus. This is a total transformation of our business, and so as we have said, and we are doing exactly what we said we were going to do, we are going to continue to evaluate our portfolio and opportunistically sell or divest of assets that allow us to advance a deeper penetration of our fiber builds and to expand our fiber footprint. So thatâs our focus and the 70% coverage, I think, will exceed as we continue to focus our capital structure and our execution on the fiber transition.
Greg Williams: Great. Thanks.
Operator: And we will take our next question from Michael Rollins with Citi. Your line is open.
Unidentified Analyst: Thanks. This is Anthony  on for Mike. Thanks for taking the questions. Just a follow-up, as you consider future asset monetizations and impacts to EBITDA, do you have a leverage neutral target in mind on a pro forma basis and then also on the macro, you talked about an elongated decision-making for enterprises. On the consumer side, are you seeing any impacts on collections activity with inflationary pressures in consumer wallets? Thank you.
Bob Udell: Take the first part? 
Steve Childers: Yeah. Hey, Anthony. This is Steve. Good morning. Thanks for the question. With respect to the leverage neutral target, as we look at the divestiture, as I mentioned in my prepared remarks, I mean, we are really evaluating. Number one, we are in 22 states today where we have identified eight to -- seven to eight of our key fiber investment markets today. We have good properties across the footprint. Every -- all of them will produce cash, not a distraction to management and we are just looking at taking the opportunity, like, where are we going to build next and if we are not going to build, whatâs new -- is there a monetization opportunity to fund maybe an accelerated build. So when we look at those, we evaluate based on -- number one is, are we going to build? Whatâs the competitive dynamic? Whatâs the cash flow characteristic of that individual sub competitive environment, et cetera, et cetera? But when we come -- most importantly, if we are considering monetizing, it really is about valuation and about the impact to leverage. I mean with -- obviously, this Verizon transaction really helps us out from a cash and leverage perspective. I would say our long-term targets are still take every dollar that we are raising from these -- from Verizon and these incremental asset sales. Every dollar is going to be invested back into the fiber business. But over time, as we really execute on the fiber build plan, we would ultimately expect to be even as a growth company be kind of in the 3% range over time, so.
Operator:  And we will take our next question from Ana Goshko with Bank of America. Your line is open.
Ana Goshko: Hi. Thanks very much. So a few questions. So first, on the 9,600 fiber net adds in the quarter, I know you mentioned that 80% of those are new to the company. Could you provide more color on where those are coming from? And then two, I think, we have heard quite a bit from some of the other players in your space about the impact of, I guess, a grid lock within the housing market, limiting moves and have, therefore, a limiting ability to kind of capture new subs. I would like an update on what you think the housing market is like in your margin, if thatâs a headwind to subscriber adds?
Bob Udell: Yeah. Thanks, Ana. Let me start with the housing market first and then get back to your first question. With regards to what we see in our markets, they are -- as I described the size of the markets, they are primarily suburban and rural markets and it seems to have been post-COVID and during COVID an attractive environment for people to migrate to. And so while the move activity has subsided some and new move-ins certainly help you catch customers making a change, we have really got a compelling product that were bringing to communities that havenât had 1-gig symmetrical, even 1-gig, but in many cases, symmetrical when you consider the size of these markets and the level of competition based the facilities infrastructure of our competitor. And remember, its 90% of duopoly environment and some of our environments donât have any cable overlap at all and very few have a third provider. And so I think were in an excellent position to remain somewhat insulated from -- I wouldnât call it a grid lock, but the slowdown that we have seen in housing sales and moves. And as that relates to recession, we joked privately amongst the peer group for years that we have seen recessions actually on a comparable basis treat our industry pretty well. So thatâs probably enough on the housing. With regards to the 9,600 fiber net adds, the new subs are coming from just -- consistent with what I just mentioned, this is an attractive product and itâs changing the way people work and live in these small communities and raising the economic prospects of them. And so itâs really something that I think sells itself and our focus on digital advertising and digital acquisition, I think, is helping us get to people and expand the service to those markets and so thatâs why we see 80% new subs.
Ana Goshko: Okay. So I think the kind of main question is where you do compete with cables, do you feel that you are attracting or winning any share from cable or is it really sort of greenfield outside of that?
Bob Udell: No. I think itâs us winning customers from whoever the competitor is in our market, largely different cable TVâ¦
Ana Goshko: Okay.
Bob Udell: â¦ service providers.
Ana Goshko: Okay. Great. And then apologize if I missed this, but I know in the past, you had cited an average cost for fiber passing, which I think has really been kind of an industry low, so in the past $550 to $600, also, the average cost to connect at $700. Wondering how thatâs potentially changing; one, with regards to any inflationary impact; two, as you move further along in the plan, are there just sort of longer passings than kind of a more difficult passing that are more costly to achieve?
Steve Childers: Hey, Ana. This is Steve. I will start and I am sure Bob will want to jump in here. But I think you are absolutely right. The way we have talked about cost to pass in the past is like basically $550 to $600 on an aggregate basis, averaging across our entire footprint. As Bob mentioned in the FTTP or FTT thesis earlier we have a significant cost advantage in Northern New England based on the amount of aerial fiber that we have. So I think we have been averaging probably the upper end of the $600 as we have done more work in our legacy markets and are doing more buried or underground type construction in those markets and I think with the inflationary question, is we did increase our guidance modestly for what we think inflation will be for the last half of the year. So I would say there could be a potential, letâs just say, 5% to 8% increase in average cost to pass here for the duration. But I think over time, the future cost to build is really going to be dependent upon the market and how we fine-tune and build plan, the markets we are going, the balance between aerial and underground, the length of the drops, et cetera, et cetera. So I think we are -- I think we still have really unique assets that we think will still be well under the peer group averages for the cost of the past. But over time, it could go up based on where we are building it. So Bob, do you want to add anything to that?
Bob Udell: Yeah. I think if you look opportunistically, we are building ahead and thatâs working to our advantage as we see headwinds from an inflationary perspective. I canât tell you that was totally planned. It started with the opportunistic or started with getting in front of the supply chain, but its resulting in our ability on a unit cost basis to keep these costs of homes passed or new addresses low comparatively with those inflation headwinds, so I think were in a good spot.
Ana Goshko: Okay. Thanks. And then can I just sneak in, are there any updated targets that you have on when you believe you can stabilize either revenue or EBITDA on a, letâs say, sequential basis and which you expect to come first?
Steve Childers: Well, this is Steve. So, I guess, the way I would look at it, if you talk about -- if you look at the moving parts on the growth -- our strategic growth revenues being fiber, consumer broadband, that is starting to outpace or it is outpacing the drag on DSL erosion. We are really focused on driving strategic revenues and data and transport for commercial and carrier, but we are working through the carrier reset, tower re-pricing that I mentioned. So I think you will start seeing sequential revenue growth probably -- I think revenue and EBITDA growth probably in early 2023. Again, we need to -- may continue to work hard on mitigating the voice erosions, but really continue to invest as we are in the fiber to the prem and supporting the commercial aerial opportunities where we can.
Ana Goshko: Okay. Well thatâs great. Thanks very much.
Operator:  And we will take our next question from Joe Choi with FPA. Your line is open.
Joe Choi: Hey. Congrats on the consumer broadband net add milestone there. A question for you on the wireless partnership sales and this question is coming from the debt side of the world. So the proceeds will be used -- will be invested into the fiber expansion. Can you confirm whether or not that reinvestment, that investment will be occurring within the collateral package thatâs supporting the credit facility and the secured notes?
Steve Childers: Yeah. I mean, all the assets supporting the fiber build program are on restricted subs where the operating assets are at. So, yes, every dollar that are coming -- the capital raised from Verizon will go through the benefit -- eventually go through the benefit for the restricted group and with the underlying collateral package for that. But just to be clear, if you look -- just make sure we are not talking past each other, I would refer you to the July 1st 8-K that we put out where we identified the creating an unrestricted sub to transfer the wireless partnership assets there. But all the cash was going to come back to -- over time come back to the restricted group for the benefit of the operating properties.
Joe Choi: Right. Right. I did read that release. And so you created an unrestricted sub. You pulled -- you put the wireless partnership assets in there effectively out of the collateral package, then you sold it.
Steve Childers: Correct. Correct.
Joe Choi: And then that cash, you are going to use that cash to invest into the fiber network and that reinvestment, I guess, my -- just to be clear the question was, that money, that cash thatâs being invested in the fiber network, thatâs occurring withinâ¦
Steve Childers: Yeah.
Joe Choi: â¦ like existing subsidiaries that are guaranteeing and securing your -- the debt facilities, is thatâ¦
Steve Childers: Yeah.
Joe Choi: â¦ am I understanding that correctly?
Steve Childers: Absolutely.
Joe Choi: Okay.
Steve Childers: Thatâs correct.
Joe Choi: So it was removed from the collateral and its effectively going back in?
Steve Childers: Yeah. Probably not a one-time, but yes.
Joe Choi: Right. Okay. Okay. And was there -- so the unrestricted subsidiary designation, was there -- because from what I understand, there was an ability to do this through vis-Ã -vis the asset sales provision, is there a specific rationale behind going with the unrestricted subsidiary resonation?
Bob Udell: Hey. This is Bob Udell. It was primarily to have maximum flexibility to get this outcome for raising the capital and so we will -- we thought the time was right and we didnât know what vehicle we might use and so the Board considered many options and it was just a step to maximize our flexibility.
Joe Choi: Got you. Okay. Very well. Thank you for taking the questions and again congrats on the milestone there. Thank you.
Bob Udell: Thank you.
Operator:  And there are no further questions at this time. I would like to turn the call back over to Mr. Bob Udell for any additional or closing remarks.
Bob Udell: Thank you and thank you all for joining us today. We think this is a special time to be in this industry and very powerful opportunity to be implementing this fiber transformation plan at Consolidated and we appreciate your support and your interest and look forward to updating you on our next call. Have a great day.
Operator: Ladies and gentlemen, this concludes todayâs conference call. We thank you for your participation and you may now disconnect.